Operator: Good afternoon, and welcome to Sonendo's First Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Louisa Smith from the Gilmartin Group for a few introductory comments.
Louisa Smith: Thanks, operator. Good afternoon, and thank you for participating in today's call. Joining me from Sonendo are Bjarne Bergheim, President and CEO; and Michael Watts, CFO. Earlier today, Sonendo released financial results for the quarter ended March 31, 2023. A copy of the press release is available on the company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements made on this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. All forward-looking statements, including those relating back to our operating trends and future financial performance, the impact of COVID-19 on our business, expense management, expectations for hiring, growth in our organization, market opportunity, revenue guidance, commercial expansion and product pipeline development are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our most recent annual report on Form 10-K filed March 8, 2023 with the Securities and Exchange Commission and available on EDGAR and in other public reports filed periodically with the SEC. This conference call contains time-sensitive information and is accurate only as of the live broadcast on May 9, 2023. Sonendo disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. And with that, I will now turn the call over to Bjarne.
Bjarne Bergheim: Thanks, Louisa. Good afternoon, everyone, and thank you for joining us today. For this call, I will start by providing some opening comments and business highlights. Following my commentary, Mike will provide additional detail regarding our financial results before we open the call to Q&A. We had a solid start to the year as we continue to move forward with our commercial priorities and strategic execution plans. Our team delivered 19% year-over-year growth for total revenue of $10.7 million in the first quarter. These results were driven by increased adoption of our CleanFlow technology and higher overall procedure instrument revenue. In the first quarter, we achieved a key milestone, surpassing over 1,000 consoles in our installed base. This comes on the heels of another significant achievement in December of last year, that being our 1 millionth patient treated with the GentleWave procedure. We are thrilled with the strides we are making to revolutionize root canal therapy and believe both achievements signal the increase in clinical adoption and market acceptance of our innovation technology. As of March 31, GentleWave's ending installed base was approximately 1,005 units compared to approximately 853 units as of March 31, 2022. In the first quarter, we sold 38 GentleWave consoles. Following the launch of our next-generation GentleWave G4 console last October, we've seen strong interest from existing doctors as well as prospective customers, particularly those in higher-volume practices. This has led to a higher mix of G4 systems relative to the G3 system and higher ASP. The GentleWave G4 launch is progressing well, and our sales team reports that the demand pipeline remains strong. To support the expected growth in G4, we're working to transfer an assembly from our third-party partner to our Laguna Hills facility, where we currently assemble the G3 console. We believe that this will give us more oversight in the initial launch stages of the G4 and enable greater control of our supply chain and manufacturing. Additionally, co-locating product development and console assembly will facilitate iterative improvements and efficiencies that we think will produce margin growth and product improvement benefits in the near term. This will allow us to accelerate responses to in-market feedback as well as to ensure a timely delivery and installation while maintaining customer satisfaction with our product. As for procedure instrument sales, we saw sales for third quarter totaling $5.7 million, representing a 33% increase year-over-year. While we're encouraged by the significant jump in consumables, we believe that this figure will normalize somewhat in the second quarter as some customers purchase a surplus of inventory ahead of the price increase that was effective February 1. We were pleased to see a considerable increase to our gross margin, improving sequentially from 27% in the fourth quarter of 2022 to 31% in Q1. The increase was driven by CleanFlow PI conversion rates among our customers, benefits to our new PI pricing program and operating efficiencies in our consumable production line. As we continue to scale the company towards a single procedure instrument, we'll be able to recognize further growth in our gross margin profile. We remain committed to improving this metric throughout 2023 and beyond. Mike will provide more color in his later comments. Relating to our focus on improving gross margins and operational improvements, we are thrilled to welcome John McGaugh this month to the Sonendo team in his role as Vice President, Operations. John brings with him incredible experience in the med tech space with over 20 years of combined global manufacturing and supply chain operations at companies such as Abbott Vascular and Boston Scientific, including earlier time spent at American Medical Systems. John's strong leadership will be pivotal to growing gross margins, and he has a proven track record in supply chain optimization and installed base performance support. Last week, we had the privilege of hosting meetings at the American Association of Endodontists in Chicago and were encouraged by the excitement coming out of this leading industry conference. Attendees were able to have hands-on experience with both the G4 and CleanFlow products in our test drive stations. In our booth, customers were able to perform a GentleWave procedure on an extracted tooth and connect the full benefits of the combined offering many for the first time. We are always pleased with the reception we get at the AAE conference. It serves as an important reminder of our fundamental commercial strategy with our focus on endodontists who perform root canal therapy for the majority of their treatments. Based upon current market penetration, there is still significant runway to sell into the 5,000 endodontic practices in the United States and Canada. They represent key leaders in the specialty, and we will continue to invest in clinical training and education in support of these clinicians. At the same time, we also recognize the market opportunity that exists with the general practitioners who are performing approximately 75% of all root canals in the U.S. and Canada. We have begun the initial stages of a measured rollout to GPs who perform a high volume of root canal treatment within their practice. This commercial strategy will expand further into the second half of this year as our sales team builds out the pipeline of early adopters. As we begin introducing GentleWave to these clinicians, we're seeing positive reception to both the clinical outcomes and value propositions. As a part of our program in developing this professional network, we've begun hosting educational seminars with KOLs and establishing best practices among GPs to capitalize on the efficiency GentleWave can bring to their practice. We look forward to ramping up our GP strategy throughout 2023 and are committed to maintaining a high level of service and support with both GPs and endodontists alike. Before we move into a more detailed look at our financial performance, I'd like to provide some commentary around the macroeconomic environment and the near-term implications we foresee for the business. Over the last several quarters, we've highlighted that macro pressures and the inflationary environment are creating uncertainty around our capital sales cycle. Practitioners are lengthening the time it takes to choose to invest in capital equipment as evidenced by console placements in the first quarter. And while this has been a historic cycle for Sonendo, wherein the first quarter lags to proceed in fourth quarter as a result of the year-end tax incentives, we believe that given the current market environment, some of this hesitancy may extend into Q2. As you look at our customer base, we see that the purchasers are typically small business owners rather than large hospital systems or multisite ambulatory surgery centers more common in other med tech specialties. Therefore, our customers' decision process is, in many ways, more personal than a large corporation, weighing a more consumer-based mindset than one might see with other med tech capital equipment businesses. However, we do expect some of these dynamics to lessen in the back half of the year, particularly as interest rates normalize and endodontists and GPs are able to fully appreciate the efficiencies recognized by investing in our technology. Our sales team maintains a robust pipeline of high-quality leads. And despite some of the macro pressures the capital side is facing, I believe Sonendo remains in a strong position to seize upon some significant growth opportunities before us. We have the benefit of leveraging several growth catalysts in the next 12 to 18 months, and we anticipate that between CleanFlow adoption rates expanding our presence to the general practitioner and CleanFlow interior regulatory clearance, we are poised to capture further market share. I'll discuss each of these initiatives briefly before asking Mike to review our financial performance for the quarter. As we've highlighted before, CleanFlow PI adoption is a pivotal strategy to improve our margin profile while boosting revenue. The use of a single procedure instrument across all cases allows for increased efficiency into operatory and further, our renewed pricing model incentivizes higher utilization. CleanFlow also incorporates fewer components and is significantly less costly to manufacture, which directly contributes to an improvement on the bottom line. We still anticipate full conversion from the legacy procedure instruments to CleanFlow by mid-2024. Our sales team remains committed to driving adoption. And in the first quarter, approximately 53% of all PI unit sales were CleanFlow, a sequential improvement over the fourth quarter of 2022, where that figure was 47%. As for the GP rollout, we believe this opportunity opens a significant addressable market for Sonendo as there are over 50,000 dentists in the United States and Canada that do not refer out the majority of their root canal cases. We only need to capture a fraction of this market segment to considerably increase revenues over the next 24 to 36 months. By highlighting the efficacy and efficiency of the GentleWave system within the GP cohort, we believe the value proposition becomes highly evident. We've received outstanding feedback from the initial high-volume accounts that have started using GentleWave and believe this trend will continue. As addressed earlier in my prepared remarks, we plan to implement a measured and strategic rollout to the GP space in order to maximize oversight and ensure the same level of quality and service that Sonendo is associated with in the endodontic space. And finally, we're very much looking forward to the commercialization of our CleanFlow PI for anterior teeth in the middle of this year. The ability to perform a root canal on any tooth with a single procedure instrument is a meaningful development for doctors and has the ability to further increase the efficiency of their practice. Anterior teeth represent approximately 20% to 25% of root canal cases. And while we currently have a procedure instrument for anterior teeth, we believe that we'll be able to capture more of this part of the market through CleanFlow. With one single PI, our economies of scale will greatly improve, and we'll be able to enjoy even further margin inflection. We'll provide further details on our commercial strategy for anterior procedures on a future call. We're excited about the many growth opportunities ahead of us, and I'm proud of our team's hard work and dedication thus far. With that, I will turn the call over to Michael Watts, Sonendo's Chief Financial Officer, to discuss our quarterly performance numbers. Mike?
Michael Watts: Thanks, Bjarne. As previously mentioned, Sonendo total revenue for the first quarter of 2023 was $10.7 million compared to $9 million for the first quarter of 2022, an increase of 19%. Growth in the quarter was primarily in our product segment, with growth of 20%, driven by increased procedure instrument sales as well as other product segment revenue. In the first quarter, GentleWave console revenue was $2 million compared to $2.1 million in the first quarter of 2022. We sold 38 consoles in the quarter, with 9 being to customers who upgraded from existing G3 systems, resulting in a net increase of 29 to our installed base. Average selling price for the GentleWave console was roughly $66,000 and related to upgrades to G3 to G4 and with higher ASP attributable to the favorable G4 mix. We attribute the decline in console revenue, however modest, to the macroeconomic impact on the decision-making process, as previously discussed and expect console revenue to grow for the full year 2023. Turning to procedure instruments. PI revenue was $5.7 million compared to $4.3 million in the first quarter of 2022, an increase of approximately 32%. PI revenue growth was driven primarily by the GentleWave increased installed base, procedure instruments sold and an approximate 9% increase in the average selling prices compared to the prior year period. Procedural instruments sold in the quarter totaled approximately 80,600. In the quarter, we did note that our sales out exceeded our utilization at the field level, attributable to our customers buying in at a lower price during the month of January. Our estimates are that approximately 6% to 8% of Q1 PI sales out will be reflected in lower demand during Q2 and Q3. Total other product-related revenue was $1 million in the quarter. Total software revenue for the first quarter was $2 million compared to $1.8 million in the first quarter of 2022, an increase of 12%. TDO continues to perform well and gave favorable traction in group practices. Gross margin for the first quarter of 2023 was 31% compared to 25% in the first quarter of 2022. This increase was driven by improvements in CleanFlow adoption rates, along with increased procedural instrument ASPs as well as operating efficiencies gained as CleanFlow production increased, offset somewhat by higher initial unit cost of the G4 console. We are very pleased with this positive inflection both year-over-year and sequentially in margins as we are seeing further efficiencies with our consumables production line and conversion to the CleanFlow instrument. Improving margins continues to be a focus for us in 2023. Total operating expenses in the first quarter of 2023 were $18.2 million compared to $16.8 million in the same period of the prior year. Increases were driven primarily by higher expenses relating to our commercial expansion and related revenues and higher general and administrative costs related to stock-based compensation, recruiting and legal expenses, offset partially by lower R&D spending. Loss from operations was $14.8 million in the first quarter of 2023 compared to $14.6 million in the first quarter of 2022. Net loss was $15.4 million for the first quarter of 2023 compared to $15.5 million in the first quarter of 2022. Our cash and cash equivalents and short-term investments as of March 31, 2023 were approximately $74.9 million, while our long-term borrowings remained at $40 million. As noted in our earnings release, during April of this year, subsequent to Q1 end, we received $3.2 million of the $4.4 million of the Employee Retention Credit recognized in 2022. As for our 2023 financial guidance, we are maintaining our initial estimates of annual revenue between $48 million and $51 million for the full year. And while it is not our practice to provide quarterly guidance in light of the dynamic macroeconomic environment, we believe it would be helpful to provide some parameters around the second quarter of 2023. For Q2, we are expecting revenue to range between $11 million and $11.4 million and for gross margin to be in line with Q1 as we ramp up in-house production of our G4 console. These figures reflect our most recent analysis of the sales cycle environment and underlying economic concerns amongst our customers. At this point, I'd like to open up the call for questions.
Operator: [Operator Instructions] Our first question today comes from Jon Block from Stifel.
Tom Stephan: This is Tom Stephan on for John. I wanted to start off with the full year guidance. Understand there was some shifting in the phasing of sales, but [one thing, collectively], I think, is a little short of our estimate yet you maintain the full year '23 guidance. So I guess can you elaborate a bit on how comfortable you are with the 2H implied ramp, which is a bit steeper than we previously thought? Bjarne, you called out potential easing of the macro uncertainty, but I guess what are some of the key 2H considerations we should be thinking about?
Bjarne Bergheim: Tom, this is Bjarne. If you looked before COVID, I would say that trade shows had more of an impact in the sales cycles throughout the year. And one of the things that we have noticed after COVID is that trade shows -- the impact of trade shows are more muted. Dental companies have found more efficient ways to sell. And I think that's especially true for Sonendo is that we have figured out how to sell outside these dental conventions and specifically, for example, running professional education events and have found much more efficient ways to sell. If you look in the pipeline of what we have, we have a very strong pipeline of deals. And so we're very pleased with how the pipeline is forming. We -- and that pipeline is increasing now as we're starting to look at the GPs. So we do recognize the macroeconomic backdrop that we talked about in our prepared remarks. But because of the strengthening of the pipeline, that is why we're -- and the continued strengthening of the pipeline, that's why we continue to [remain] the overall guide for the year. I think the thing that we're continuing to be very much on top of is how we continue to activate sales. The pipeline is large. We're continuing to now activate sales through education and continued awareness. And as we get closer to the end of the year, we do expect the end of the year tax incentives that we see to play through. So demand continues to be healthy. The pipeline continues to be healthy. We continue to be very, very excited about the long-term growth story. We just wanted to inform the market and inform everyone of just the fact that we do believe that trade shows have less of an impact in our sales cycles. And that's why you will see that Q1, Q2 and Q3 are more in line as opposed to Q2 being slightly higher than we would traditionally have seen before COVID.
Tom Stephan: That makes sense. And then my second question is just on the gross margin, very strong in the quarter and appreciate the drivers you mentioned. Maybe if you can just elaborate on the sustainability of those factors you called out. And then once we get past the 1H '23 31% gross margin that you're expecting, what can we think about exiting the year, maybe once the manufacturing transition is completed, just given we saw a clean 400 bps of sequential growth this quarter?
Michael Watts: Tom, it's Mike. I'll take that -- start that question, and then I'll let Bjarne add any color commentary as well. So yes, we are very pleased with how we exited Q1, 31%. We were able to drop largely the price increase that we achieved with PIs and then additionally got some favorability from our consumable production line, albeit somewhat offset by the higher unit cost of the G4 console. So for Q2, we're expecting that dynamic to continue. We're starting to ramp up Q4 -- G4 production. And as you indicated in your remarks as well, we tend to exit Q1 in the first half at roughly 31%. I think in terms of guidance for the year, without giving a specific number, what we're working on is we believe there's further cost improvements that we'll experience through in-sourcing of G4. So we think that will give us favorability that we'll be able to push the number up further. And then additionally, around CleanFlow adoption, we expect that to ramp up. We've ramped up from Q4 to Q1 from 47% to 53%. So we expect that improvement. And then we still have the price increase for PIs that will take full effect in the remaining quarters. So we have a lot of positive momentum going into the second half of the year that we think will help us trend north of that 31% in a favorable form.
Bjarne Bergheim: And Tom, driving margin, of course, very high priority for us. We're really excited to have John McGaugh being onboarded now, heading operations. This is what he has done in his previous life. And some of his key priorities and key opportunities for us, like Mike mentioned is, of course, managing material cost, negotiations, supplier costs, et cetera, driving operational leverage. And obviously, as a whole, as a company, we will continue to convert customers to CleanFlow. So that's definitely something that will be all over as we continue to go forward.
Operator: Our next question comes from Joseph Downing from Piper Sandler.
Unidentified Analyst: This is John [ph] for Jason. So can you compare the success or feedback from this year's AAE conference versus what you had last year? This year, you had G4 to showcase, but last year was the coming out party for CleanFlow. So just trying to get a sense if there was a notable difference in 1 year versus the other around the conference.
Bjarne Bergheim: Yes. Thank you for the question. We were really super excited about this year's AAE. I would say, first, we had a very busy booth, great activity level on the show floor. And I would also say that we had a very, very professional team representing us. But most important, I would also say, we clearly see that and we clearly believe that we have the best technology available for endodontics and also the best option for patients. I can tell you for myself, for my family and people that I know, I would not, in this environment, have let anyone do anything else, but GentleWave if I need a root canal procedure. So really taking endodontics to a new level. Second, I would say that this year's AAE, we clearly see and we continue to change the conversation in endodontics. Instead of talking about what files -- talking about what file to use that we've seen if you go back 5 years, if you go back 10 years, the entire convention is now talking about how to file less and how to clean and disinfect these root canals. And I'm proud to say that Sonendo has really initiated and led these conversations and will continue to do so going forward. Maybe another third observation, I would say, about this year's AAE is that we had a number of different investors come and speak to us and talk to us during the show. And one of the things I heard from them was that there's this pattern recognition. They've seen this dynamic before walking the show floor. Effectively, what they're saying is that we believe that this is a field that's very ripe for disruption at some point here going forward. And obviously, Sonendo is going to continue to lead that. So net takeaway from this year's AAE, even though we didn't have, to your point, [John], we didn't have -- we didn't launch CleanFlow. We did showcase, obviously, G4 for the first time. We have the best offering in endodontics. We will continue to lead in this field. And we feel that this is a very ripe -- this field is very ripe for disruption. So I would say that both conferences, both last year's conference, this year conference, was good for us. But like we talked about earlier is that we're just seeing in general that we think that trade shows may have less impact than what we saw before COVID. So I wouldn't really -- so I would say that this year's AAE, last year's AAE, very, very successful. We just see the impact on the business less now after COVID than we did in a pre-COVID environment, and that goes back to my prior comments.
Unidentified Analyst: Great. I appreciate that thoughtful answer. And then what's been the early feedback regarding the push into the GP channel? Are there any early lessons to draw from? And can you say whether there's been any evidence of your core endo doctors being unhappy with this expanded selling focus?
Bjarne Bergheim: Yes. The push into the GP channel, I think, is going very well. Like we've talked about earlier, we continue to be very much focused on the endodontist. This is something that we've been focused on all along, and we really wanted to be all over that. We still have less than 20% penetration into the endodontic space. So this will continue to be a significant focus for us. And at this point in time, we also have the key KOLs in endodontics supporting us. So that's why the timing, we believe, is so good to really start moving over to the GP space and focusing on that as well. But like we've talked about in prior commentaries, GPs do roughly about 75% of all endodontic procedures. So we're still in the early stages. It's going well. We're building out the tools to drive education and awareness. But we clearly see that the GP -- the pipeline in the GP space is increasing. So this should drive -- continue to help drive further growth in the second half of the year. With regards to any blowback that you're talking about in the endodontic field, we have not seen that. And I think maybe one of the things that's unique for Sonendo is that our messaging to the endodontist and our messaging to the GPs are not in conflict with each other. In other words, if we have both endodontists and GPs in the same room, we can continue to have the conversation with both parties, if you will, without them being in conflict with each other. Now for the endodontist, we're talking to them about obviously treating their own patients that are being referred to them by the GPs, whereas, when we're selling to GPs, we're selling to the high-volume GPs that are substantially keeping all of their cases in-house and, obviously, that's not in conflict with the endodontist. To a very significant extent, I would say that us educating and driving awareness in the rest of the GP space, meaning, the GPs that are referring out a lot of the cases, that actually benefits our providers because if a GP knows ultimately about GentleWave, they'll either buy the unit or they'll refer to someone that offers GentleWave. Both instances and both things, of course, help us, but there's no conflict, I think, in the storytelling and the positioning that we have to both the endodontist and the GPs.
Operator: Our next question comes from Nathan Rich with Goldman Sachs.
Nathan Rich: I wanted to ask on the 2Q guidance. Mike, could you maybe provide a little bit more color on the composition of 2Q revenue between consoles and PI? And I guess, specifically on the console revenue, I think the ASP was impacted by some trade-ups this quarter. Is that a dynamic that you would expect to continue going forward just as we think about how to model console revenue?
Michael Watts: Great. Thanks, Nathan. So when you look at Q2, what we tried to highlight was just the buy-in or stocking effect that we saw with PIs in Q1, where we saw anywhere from 6% to 8% of the PI sales out, where people had a start-up. So we expect that to work itself out in Q2 and Q3 with the majority of it happening in Q2. So we think that, that step down in PI sales out will happen from Q1 to Q2 on that impact. When you look at consoles, the dynamic that you're talking about with the trade-in trade up, we don't offer any -- and we don't -- we won't continue to offer any trade-in or trade up special programs moving forward. We had done that in Q4, and we had some of those deals move over from Q4 into Q1, but it's not something we're actively looking at today. So you look at something that's a little cleaner, if you will, in Q2, you'll have a straightforward ASP. We still expect the ASP to land somewhere in the mid-60s. So that's mid- to low 60s, something to put into the models for ASP on consoles. And then for volumes, as Bjarne indicated, when you look at Q1, Q2 and Q3, there'll be slight variations there, but not as much as we've seen in the past. So Q2 will be a little bit more than Q1 and then Q3 will be some place in between Q2 and Q1. So I hope that helps.
Nathan Rich: Yes. No, that's great. Appreciate the color there. And then I guess, as we think about the rollout of G4 and bringing the assembly in-house, how does that change your ability to supply the market? And I guess, can you help us think about kind of capacity to roll this out to the GP channel in terms of the number of consoles that you'd be in a position to place? I guess, is that a limiting factor at all just in terms of the pace of that rollout?
Bjarne Bergheim: Yes, Nate, that's a good question. And maybe let me give you a little bit more color on why we're bringing manufactured back in-house. So obviously, previously, before G4, we've had the manufacturing team here at Sonendo focused exclusively on G3. But in order for us to get G4 up and running, we used an OEM manufacturer to help us create manufacturing plans, work constructions, lay out the line, et cetera. And this same OEM manufacturer has helped us manufacture the first few units. We previously -- on prior calls, we've talked about expecting a 50-50 demand split between G3 and G4. Today, we are seeing a higher demand of G4 than G3, which is good. And I think that's also the rationale for your question about -- starting to ask about and really double-clicking on G4 demand here. So in order to utilize the manufacturing team here at Sonendo, we've decided to bring G4 manufacturing back in-house. We have now laid out the entire manufacturing line here. We're ramping up production with a team that are making G3 units. And OEM supplier was also based here in California, was expensive. So by moving manufacturing in-house, we're saving some margin dollars. And we're also bringing manufacturing close to our R&D team. And I think that's really important because in the early ramp of manufacturing, it's important to have manufacturing close to R&D, close to customers so we can quickly iterate anything that needs to be done. And I think also now, of course, like I talked about earlier, having John here in-house heading operations, this is really going to be a key for us to help drive this going forward. So we feel that we have -- Nate, we feel we have sufficient supply here to supply the market. We have a great team here internally to help drive manufacturing here, and we feel that we have sufficient capacity to not just supply G4s to the endodontist community but also to the GP channel as well.
Operator: Our next question comes from Erin Wright at Morgan Stanley.
Erin Wright: So you highlighted the macro environment again impacting capital equipment purchasing. How would you characterize it now, is it getting better or worse? And how would you characterize the sales cycle duration right now? And what's your ending installed base target for the year? Also, I was just curious how many placements were associated with GP? Was that material at all? I get it, it's a measured approach, but just curious if you could break that out.
Bjarne Bergheim: So Erin, I'll take part of that, and Mike can fill in some more detail here. So I would say that the capital equipment environment for us is the same. We have not seen a worsening from prior quarters. So I would say that it's stable. Like we've previously talked about, we have a strong pipeline. The pipeline is growing. But to your point, the sales cycle duration is slightly longer in this environment given the macro overlay. And I'll have Mike comment on some of the console numbers for -- towards the end of this year. But with regards to the GP numbers, I would say that initially, like we have previously communicated, the impact of GPs in the first half of this year is going to be less. You're going to start seeing some more of that this year. Another way to think about the growth in this year, right, is we're continuing to call on endodontists. There's a significant opportunity for us available in the specialty field here. We have less than 20% of the market. So that will continue to grow, and that will continue to be a key focus for us. And then GPs will be -- provide upside, if you will, as we continue to drive into the second half of this year.
Michael Watts: So -- and just to continue on the GP installed base comment, I guess, just going backwards in your line of questioning. So for GPs, right now, that is less than 10% of our install base. So we had a certain install base of GPs that we had started out with when we first launched in 2018, and they've stuck with this, on this -- through this process and now we're starting to add to it. But as it becomes more meaningful, we can start to give more color on it. Regarding the second question on our install base for year-end. So last year, we placed 176 consoles for the year and implied in the guidance that we've given is to increase that install base. So it's our goal, of course, to grow the install base to help grow PIs and just expand the GentleWave footprint in the market. So hope that helps your question.
Operator: Our next question comes from Michael Cherny with Bank of America.
Dan Clark: This is Dan Clark on for Mike. Just one from us. Appreciate the color you guys gave on your customers taking more of a consumer-based mindset here around macro. Would you say there's a difference between how endos and GPs are sort of looking at macro and if you're seeing any differences in sales cycles between the two groups?
Bjarne Bergheim: Good question. I think you're spot on in your framing here is that our customers are taking more of a consumer mindset because they are smaller -- they're smaller, sole proprietors and they're making a purchasing decision about should I do something from my business or should I do something from our home type of thing. So that's, I think, a very, very good framing. I think it's a little bit early to give too much insight into GPs versus endos at this point in time. What we are, in general, we have some anecdotal early results that indicate that GPs are perhaps a little bit more business-minded in some other decisions and are looking at this from an ROI perspective. And I would also say that the early experiences that we have seen with installing GP units, GentleWave consoles in a GP office, we're seeing that the value proposition resonates very well. And we are also seeing that it resonates probably more in a GP office than in an endodontic office. And as you can all -- as you can kind of reflect upon going to the dentist, right, a GP will be working on multiple patients and multiple activities at the same time. An endodontist will be substantially all focused on one patient during a root canal procedure. So I think what we're seeing is that GPs, because they can actually continue to work on multiple patients while doing a GentleWave procedure, that value prop resonates quite a bit. So that's our -- that's the rationale for GPs perhaps being a little bit more open to acquiring capital equipment in -- at this time.
Operator: This concludes our Q&A. I now hand back to Bjarne Bergheim, President and CEO, for any final remarks.
Bjarne Bergheim: Well, thank you, operator. We appreciate everyone's time today, and thank you for your interest in Sonendo. Have a great rest of your day. Thank you.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your line.